Andrew Kiguel: [Audio Gap] with Martin Bui, our CFO; and Jennifer Karkula, our Head of Communications. I'm going to do a walk through some of the things from the quarter. And maybe I'll start with some commentary just on a little bit of some of the key aspects of the things that happened. I think that's probably more insightful to people than me doing a repetition of what's already in the press release. So one of the key things, I believe, here to discuss is that we sold our liquid cryptocurrency assets, primarily being that of our ETH. And I wanted to just sort of give some insight into that and the thinking behind that because for sure, there's going to be some people who are a little disappointed in that, even though I believe it was the right decision. So we had started reporting that we were going to start liquidating our liquid digital assets probably about 9 months ago. And I want to explain why that is. So the reason this is important is the volatility that's inherent in cryptocurrencies, while I love cryptocurrencies and it's true to my heart, but it's really hard to run a business around that. And I'll give an example. About 4 months ago, Ethereum hit about $1,450 -- basically $1,450. Today, it's around $4,500. If you can imagine when you're trying to run a business that operates in fiat, but your treasury is all in crypto and you need to access that, it makes it really hard to plan. And so one of the things that we put in our current press release for people's insight so you understand our thinking is our monthly cash burn is about $400,000, about $380,000. When Ethereum hit $1,400 or so a few months ago, our run rate before running out of capital and having the necessity to raise capital in what might have been a desperate situation was reduced to about 6 or 7 months. As an operator, that causes me a lot of panic because the last thing I want to do is be forced into a financing at unfavorable terms. And so you can understand from our standpoint, which is we've got to make payments to -- and payroll in fiat currencies we maintained a very low cash balance. And so what we had been doing is sort of selling a little bit of ETH here and there. I think with the anticipation that heading into the next bull market, we monetize there and sort of create some stability for the business at least for the next sort of 12 months. So again, last year, with the volatility, the management team and the Board decided that for the safety of the business, it was a smart idea for us to try and monetize this in the next bull market, which I think we're sort of there now. With Ethereum sort of going back and hitting what are near all-time highs, we thought that was a prudent thing. And then I guess we stopped a few days ago, but we sold the last of our liquid Ethereum in the market. I believe the last price we got was around $4,300. It's slightly higher today, but I feel we got a good amount. More importantly is that we have now $6 million, give or take, a little bit on the balance sheet. And based on our current budgeted run rate, that gives us like several months of operating where we don't have to worry about having -- being able to make payroll or having to do things. We've received this year a couple of what I would call predatory type financing offers. These are from investment banks that are like offering deals at deep discounts, full of warrants or high double-digit yields and things like that, that we've resisted in sort of moving forward with because ultimately, we know that, that wouldn't result in creating shareholder value. And I'll remind people, we haven't done a financing in this business since 2021. So again, because we kept large ETH balances in the past instead of a large cash balance, we sold most of our ETH in the past. We had been selling ETH probably like $220,000 to $250,000 worth of ETH per month out of necessity just to continue financing things. As a general rule, we always like to have at least $1 million of excess cash in the bank for unforeseen things. So as the price started to increase, we saw that as an opportunity to monetize, again, for the financial well-being of the business. In our minds, $4,000 or higher was the right price as it sort of neared all-time highs. So today, with $6 million of cash, we have approximately 15 months of operating runway, obviously, not including any incremental revenues and sales that we believe will arise in 2026. We've tried to be super conservative about that. And we believe that again, gives us leverage to not accept any predatory financing terms or put us in a situation where we have to do something that's unfavorable. That doesn't mean that we're not going to raise money for 15 months. I think that just means that we have better options for the company. undoubtedly, we may have left a little bit of money on the table had we tried to hold ETH for another month or squeeze it here and there. But overall, I believe for the business today, we're stronger by securing our financing for the next while, which is essentially what we've done. We've sold one asset to secure financing for the robotics and AI business. I guess in addition, I would say, as the company has pivoted, there's a lot of places for people to get crypto exposure these days, not a lot for people to get robotics and AI. And I guess robotics shouldn't really be a proxy for the crypto market anymore, but seen as a leader in the robotics and AI space. That said, we do still have our claim against Genesis, and we have about $2 million of exposure there. We carry that at 0 on the balance sheet just because of the uncertainty of getting that back. I would say that since they went into bankruptcy, we have received back about 80% of the ETH that we held there and about 40% of the SOL that we've held there. Not sure if we're going to get anything back. Again, unfortunately, Genesis turned -- started off as a very reputable business. And in my opinion, did a few somewhat unethical things there and left people holding the bag. So I'm still hopeful we'll get something back. I don't think we're going to get 100% back. But out of that $2 million that they owe us, I believe that there's a chance we get another 50% to 60% of that back. So hopefully, that gives people a little bit of an explanation to understand why we moved out of crypto again. We were using the crypto to finance the operations. And as crypto moved up and down, like I said, a few months ago, I was in a little bit of a panic when I saw crypto drop or ETH dropping to $1,400, it's really hard to budget and have assurances that you'll be able to make payroll in a few months with an asset that is moving up and down so much. So with that, I want to talk a little bit about -- and I'm going to get into a little bit of the deck, but I want to talk a little bit about what's sort of happening, like what's new with the business because I don't think that fully comes through in the press release. And as things happen, we try to maintain and provide updates. In the next few weeks, we have our new version of the robot controller launching. That's going to allow for added control and simplicity in the operation of the robots. We're really excited for that. We expect to have that ready literally in about 4 weeks. The vision integration into the AI is being completed this week, and we hope to be showcasing that at upcoming shows. Obviously, the biggest show we have coming up is IFA Berlin. For people who don't know what IFA Berlin is, it's larger than CES. It's sort of the CES of Europe, about 200,000 estimated attendees. And we're super excited as Europe has not yet really seen our product. In terms of why that's exciting, this vision integration with AI and speech technology is that, to our knowledge, nobody else is doing that the way we do it. So basically, it's an AI system linked into a vision system, linked into a lip and mouth sync articulation system. And what that allows is for the robot to recognize people, situations, objects. And so you could have it in an area where it can see if there's an emergency, it could alert people if someone is hurt. It can, again, utilize like you could even have it in a retail store where it's looking at you, trying on clothes and says, hey, I think that's a little bit too big for you or maybe you might look better in a different color. If you can imagine the possibilities with that where it's actually looking at you and speaking to you with advice, I think, is completely unique only to us. New things that are upcoming. We expect to have this fall our new adult-based AI coming. That will have the ability to integrate it into a robot or as a stand-alone digital avatar. The idea there being that you'll be able to access this AI on your phone or your computer through a digital avatar and then choose to upgrade to a robot later or you can buy it and have it integrated into a robot right away. We still believe loneliness is a global issue and using AI and robots for companionship fills a big, big gap. I don't think robots and AI are necessarily a solution to things like depression. But as I always describe it, it's an assistive aid. It's something that can certainly for many, many people that don't have other options can alleviate this. And again, I want to make clear like this isn't targeted at children or people living in cities who are capable. There's a huge need that I think generally goes overlooked by mainstream society like someone told me yesterday, there's an estimate that 60% of men globally are lonely and loneliness leads to depression, strokes, cancer, it weakens your immune system. Again, this is not the pill that solves everything, but it's an assistive device. It's an assistive solution to help people make their lives better. On the enterprise front, we're making huge inroads. I can't sort of reveal everything right now, but I would say, again, we're having conversations with some of the largest companies in the world. We've been invited to showcase our products at some major events. A few things we can discuss. We were just in -- at the Las Vegas Fashion Show Mall. We did a project with Tix4. Again, that was really more of a, hey, look what we can do. Let us show you that we can put a robot in a public place and it can interact with people completely unscripted. We have IFA Berlin coming. That's the first week in September. That's the event, again, 200,000 people. We've recently been invited to events to showcase our products by Ericsson, Dell, Verizon. We're going to be doing -- it looks like an installation in Times Square with a group called Smarteq. It's sort of a high-end electronic store, and it's going to be basically placed inside the store, but visible from the street and what might be considered the highest traffic location on the planet, like I think it's something like 1 million people walking by there per day. In the fall, we're also going to be doing the GITEX conference in Dubai. We've been invited there by a group who's basically paying for us, our lodging accommodations, everything to bring to robots really just to display to a whole bunch of sort of people at this conference and in the Middle East, what our robots can do. And then last, there's the CES show, Consumer Electronics Show in January. That was really our coming out party this year in January. People sometimes forget nobody had really seen our robots in person until January of this year, which was 8 months ago. But at CES this year, we expect to sort of be there again. We have a bigger booth, and we expect to be sort of, what I would say, showing a new level of engagement with people than we did last year. And that's going to be largely to do with the vision system, the upgraded robot controller and what I would call enhanced AI capabilities. In terms of our current strategy, the idea is still to put our robots in as many public venues, high-profile events as possible to demonstrate the technology. 2025 has never really been about hitting revenue numbers. It's more about building the market. We're not selling bagels or computers here where you sort of know what the demand is like. We're creating this market. We're demonstrating to people. We know from all the market forecast and from the inbound attention we're getting that it's huge, like we continue to be in conversations with many groups, but we need to get it out there. We're trying to build our brand. So when people think of humanoid life like robots, robotics is the first thing that comes to mind. And to do that, we need to build a bigger company. We need to make sure the robots are all over. And we're considered the premier business in the space. Again, we're having conversations with many companies of interest, we're in a conversation and it looks like we'll make a sale there to one of the largest electronic companies in the world. And in having a conversation with them prior to their purchase, they said, we've talked to every robotics company on the planet over the last 12 months. And they said, congratulations to robotics because you're the only ones that can do what most companies like us want, which is a form of customization of appearance and AI. They said, we don't really care for a robot that can do backflips and dance. That's a little bit of a novelty. It doesn't provide us the utility that we need. And the utility that we need is to be able to customize the AI to talk about our company, understand our clients and engage with them in a really interesting way. And they said, look, you guys are the only people in the world with that capability today. From a capital markets perspective, maybe what I'm going to do first is I want to talk -- I'm going to go through a couple of slides in the presentation because while we're talking about the robots, I want people to understand what makes them unique. And this is available on our website, the robotics.ai, the corporate website. But we think about robots in a way that nobody else is thinking about them. This is not -- we're not competing with Tesla or Boston Dynamics or Figure AI. We're doing something wholly unique here, and I'll explain why. Number one, our robots look far more realistic than other people's robots. I'll play this video, I'm going to turn the sound down, mute it. But our robots look far more realistic. We have customizable faces, bodies and voices, lifelike facial expressions with custom movements. Here's the 3 things that make our robots super unique. Our robots are built and it's sort of evolved this way to be modular. And what I mean by that is they're a little bit like LEGO. You can snap parts on and off. That has 2 really big advantages. Number one, you can put it in a suitcase and travel with it. So if you were using this at conferences or whatever it is, you can put it in a suitcase and travel with it. That's a great feature. But the other thing that, that enables is easy repair. So let's just say, for example, something stops working in the knee, the elbow, wherever, you can snap that body part off, send it back and we can send a replacement that can be snapped back in. That allows for very efficient repair, replacement of parts that get worn that, again, nobody else is thinking of. Most other robot companies are designing humanoid robots that all look exactly the same, have no facial expressions and it's a full- bodied unit. Something goes wrong, you got to put that thing in a crate and ship it back. The other 2 things that make our robots unique, when we were designing our AI, I sort of said to the team I'm like, hey, let's throw ChatGPT in there and see what happens. And what we realized is that we're able to integrate pretty much any AI on the planet into our robots. And so you can certainly use our AI, which is based on social interaction, companionship, but you can also press a button and put ChatGPT in there or Llama or Gemini or Alexa or whatever you need. that adds for incredible flexibility. And so we were having a conversation just last week with a major hotel chain that said, hey, can we integrate our chatbot into the hardware? We looked into it and we're like, yes, we can. So you'd be able to walk up to a robot in this hotel if they were to enable this and say, I'd like to book a massage at 2:00 p.m. The robot would use its AI and be like, yes, that's available, Mr. Kiguel, create a ticket and book it for you. It can also do that in any language for you. And so again, with hotels experiencing guests in major cities from all over the world, imagine being able to walk to a robot concierge that can bring you pillows to your room, it can order you food to your room, book a massage or a car or whatever a hotel concierge could do, and it could do it for you in any language. That's utility. The robot is not doing backflips and dancing, but it's providing real utility and ROI to our clients and potential clients. And of course, the last piece that makes us unique is the vision system with the face recognition, object recognition and situational recognition. Don't know of anyone else doing that. But again, imagine this in a retail store or imagine it in a long-term old age facility where it can go room to room, robots have infinite patience. It can talk to the people. If something is going wrong, it can recognize that and react appropriately. Again, imagine in a retail clothing store where it can look at you and be like, hey, this -- I think you can get a better fit or a better color. All these types of things that the robots will have the capability of doing by integrating AI with vision, and I haven't heard of anyone else doing this. And by the way, we've patented our vision system. So with that, I'm going to talk a little bit more here about capital markets. I'm going to stop sharing the presentation. Like I said, this is online for people who want to look at it. And I want to just talk a little bit about capital markets before I turn it over to Jennifer to start on questions. From a capital markets perspective, the years had ups and downs. I'd say one of the most validating things that we saw was during CES in January, when the world really, for the first time, saw our robots that our shares -- the volume was impressive. The shares appreciated significantly. It was up like, I think, 200%, 300% in 1 day. The years has up and down. Again, investors are never fully satisfied. I get lots of e-mails. People are -- you never hear the good, you just get the unsatisfied people. But again, we don't control the share price. There's a lot of macro events we don't control, whether that's where interest rates are going, whether money is flowing into sort of the Metas of the world and Apples of the world versus we're still a microcap. We're still looking to move to the NASDAQ, but we haven't determined the timing. But I wanted to talk about the why because I do get questions around this. We believe to do this correctly and to do an uplist to the NASDAQ, you need the right IR, PR and marketing. I've talked to people that have successfully moved to the NASDAQ, and I talked to people that have unsuccessfully moved to the market. And it's in talking to the people that have done it unsuccessfully that the lessons are learned. And what I learned is a simple uplift -- uplist isn't really going to do anything if you don't marry that with a whole bunch of IR, PR events, various things that obviously take up time and money. The other -- and I would say that, that's not currently budgeted into our monthly cost right now. And so that is something we need to evaluate. The other piece is our valuation isn't exactly where we want it to be. In order to meet the listing requirements, we would have to do a share consolidation. 9 out of 10 times, these hurt shareholder value. An uplist would also require a financing and a whole bunch of other things. I think if we were to uplist that we're currently looking, we'd have to raise about $10 million or $15 million. Again, this causes dilution and not -- personally, as a Board and management team, we don't want to do it at these prices because we think our valuation is low. So in putting these things together, we haven't pulled the trigger on this yet because timing matters, valuation matters, the pieces you put in place to make this successful matter. And we got to measure all of these things to make sure we're doing it and we're ensuring the safety, the financial safety of the company. Like I don't want to eat into 3 or 4 months of cash flow to take the risk on this. And then if for whatever reason it's unsuccessful, people are unhappy. And so the idea here is, look, we want to do this. It's the right thing to do to move to the NASDAQ, but we want to do it prudently. We're hoping that after these events that are coming up and some new partnerships and things that we hope to close before the end of the year, that the shares will be, I think, at better valuations. And that sort of puts us in a better spot to go and do it a NASDAQ uplisting. So again, it's not that we are not technically able to do it. But just because we're technically able to do it, it doesn't mean that it's necessarily the exact right time to do it to create value. But certainly, it's on the -- what it is, is it's on our target of milestones and things we want to achieve, I'd say, in the next 12 months, but the timing has to be right. And if we don't have a few of those pieces fall into the right place, we'll continue to wait until they do. So I think with that, I've said a lot. I've been talking here for about 20 minutes. Jennifer, why don't we open it up with -- if people can submit their questions, and I'll see if I can get to them. And maybe we'll do about 10 minutes of questions.
Jennifer Karkula: No problem. So the question-and-answer box is now open at the bottom. If you have any questions, please type them in, and we will be able to get some.
Andrew Kiguel: The one question was what's the average price of the ETH holdings that were sold? I would say the average price based on the last look was about in like the mid-$3,000 range. But again, I think you have to remember that when ETH was like trading low, like we were -- we had to sell some in the $1,700 range, $1,800 range because we needed the cash to fund the business. So that's kind of like where we're at. There's another question here, earnings per share. I'm not sure I understand that question, Cory, if you want to rephrase it and put it back into the message. Jen, I'm only seeing the 2 questions here. Is there anything else popping through?
Jennifer Karkula: It looks like those are the only questions.
Andrew Kiguel: So I mean, Cory, if I was to try and answer your question in terms of EPS with a question mark, I'd say, look, earnings is always preferred. But when you're trying to build a business, and ultimately, what we want to do here is build a multibillion-dollar business. And to do that and to get there, I can't always be worried about the bottom line, and that's what the cash reserve is for. And so when we decided to convert our crypto into fiat cash, what that does is, like I said, it allows us to have ample time to get there and grow because certain things cost money. Like, for example, the setup in Times Square that we're looking to do here in September, it's going to cost us money. We're going to have to ship a robot there. We're going to have to staff it and do that. But would the solution be like, hey, let's not do something like that with respect to getting a robot in time. One of the busiest intersection in the planet because it's going to cost us possibly $20,000, $30,000 to do that because we're trying to like pad the bottom line, that doesn't make sense. Now is the time for us to be investing into the future to build this company because while we have a head start on everybody right now, in 2 years, we may not have that head start. Clearly, after CES, we saw that there is global interest in what we're doing. I mean there was 4 billion media impressions for the month of January, like that's unheard of. It was organic. We didn't pay for any of that. It was all organic. And to get that kind of media attention, although a lot of it was focused on the companionship side, where really where we're making inroads is on the enterprise side, I think, is remarkable. Someone's asking is there is anything can be done as shareholders to help with the exposure? Gary, you and I talk on LinkedIn sometimes, so happy to chat, but we always appreciate people reposting what we're doing. There was a good piece put out by Moonshots last Friday, which had -- I thought it was a great write-up on the business and where we're going. Jennifer, was that shared on social media?
Jennifer Karkula: That was a private listing that they did, so they weren't able to share it with me.
Andrew Kiguel: Got it. Well, moonshots was sort of a very well read newsletter in the small and microcap space, and they wrote an amazing report on us, obviously, with the recommendation. So we always say we're trying to get more exposure, get the story known. What we're doing is so unique. Like I said, we're approaching robotics and AI in a way that nobody else is. And while everybody is like, thinks that we're in the niche sector, I believe we're actually in the main sector and everybody else is operating in the niche. I mean there's a dozen companies around the world creating robots to move boxes around. Nobody is making robots like ours that are modular, AI agnostic with vision systems. Another question here is the price of a healthy price tag on the full-size robots. You thought about leasing versus buying. What we thought about is this, Gary, and we're looking into it, which is there's companies out there that will finance the buyer for us. I don't want to take the risk on that because somebody knocks over a robot, breaks and decides not to pay. But there are companies out there that we're having conversations with whereby they will deal with the buyer and say, let us break this out for you into 2, 3 years of payments where you're paying a small monthly amount, they add it and take some kind of an interest in that and then they take the risk on the buyer instead of us. We could look to do that down the road. But as a small sort of growing company, I don't want to focus on also building a leasing business, which is a distraction on its own. A question here. Any chance to work corporate with big tech company? So we're in conversations with several large tech companies. If you were to name sort of the top 10 tech companies in the world, we'd be having conversations probably with half of them. The thing with these companies is there is a level of bureaucracy within them, like we're small and nimble. They're less so in terms of being small and nimble. And so we're having these conversations. I can tell you they're all going really, really well. Everybody is excited about the product. the first step with a lot of these is they're inviting us to bring the robots to their main events, to put them in front of their CEOs and other executives. And so we have several events like that planned over the course of the next -- between now and CES in January. Obviously, all of those require time, shipping, staffing, but that's really the first step for us is seeing is believing with our product, and we saw that at CES or any other time we've done that. But yes, the view here is -- and I'll tell you what is interesting for these big tech companies with us. They have 0 interest in our AI. Here's what they're really fascinated with. They're fascinated with the ability to integrate their AI into our hardware as a way of showcasing what they've built. And so imagine you went to a conference that was being hosted by a large AI company, and our robots were there and our robots were able to only channel that AI. Like it's a great way for them to get media and promote that. It's a great way if it's a product company. So we're having conversations with large electronic companies. So imagine you could walk up to a robot and it could provide you information on a computer, what colors does it come in, how much RAM does it have? How much does it cost? And the robot can be like, hey, why don't you give me your e-mail and I'll send you a quote. So these are the types of things that are getting these electronic companies like super excited about. One thing that we pitched last week, and I think this was a really interesting use case, but we had a conversation with a resort company that owns casinos. And the conversation was sort of like this. You guys have a lot of people coming in from all over the world, whether it's Europe, Asia, wherever. Can you imagine somebody can walk up to a robot and say, hey, can you explain the rules for Craps to me or Blackjack and the person says, and I wanted to explain to me in Mandarin or Spanish or French or whatever language. It's impossible to have a human there that speaks 100 different languages. If you could have a robot there that looks human and friendly and can explain to you the rules and answer questions on any of the casino games and tell you where they are, oh, you're interested in playing poker, well, that's just around the corner to the left by the coffee shop, whatever it is, and it can do that in any language, certainly, that should lead to an increase in people going and actually gambling or possibly visiting your facilities because they want to see the robot and talk to the robot and they know they can get instructions and guidance from the robot. So again, it's about making this -- moving away from this being a novelty to providing utility. And that's why I think we were told, hey, our robots may not dance and do backflips, but they're providing a different level of utility. What is the average delay in communication response between a human and your robot? Great question. And what I would say is it varies. With the new robot controller, we hope to get that down in somewhere between 1 and 2 seconds. A lot depends on the Internet connection. And so when we have it sort of plugged into a dedicated Ethernet -- Internet line, it's very quick. What we have found is at times, like when we were at the Bitcoin conference and there is 50,000 people who are all attached to the same WiFi system, and it's 8 Mbps per second or whatever, you're going to suffer some delays. What we've started experimenting with is doing everything local. So rather than the robot having to go to the -- because most people for today, when we have them at the conference, most people are like, hey, tell me a joke, tell me what Bitcoin is or things like that. So what we're thinking is rather than having it go through the Internet is we've developed sort of a system whereby if the question is like tell me a joke, it doesn't need to go to the Internet. We can have it on a local LLM that's operated by a computer that's attached to the robot, far more efficient, way easier, less delay. If it asks a real specific question like tell me the score of the tennis game or hockey game that happened like last night, who scored the goals and what was like whatever, then it can go to the Internet and do that. But obviously, I think that functionality is important, and we continue -- I'd say that's probably the biggest thing that I push our guys on is to reduce that latency. Another question here is Aria made it to Vegas for how long will she be there and her response time improves as she learns more. So Aria lives in Vegas. She's always there just for everybody's knowledge, we make, manufacture everything ourselves, and it's all done in Vegas. NASDAQ listing, I think I've already addressed that in terms of we're technically ready to do it. What I'm not technically sold on is if we can't do it in a way where, again, the valuation, the share roll-up, the financing, all these things make sense, I don't -- look, it's always an interesting thing. Obviously, we're a speculative company. We're in a new area. We're doing robotics and AI or a microcap. That leads to higher risk, higher potential return. But from a management's perspective, I'm always looking at this in terms of like making sure we provide safety for the company, which sometimes means things like having to sell our Ethereum. I want to move to the NASDAQ. At least once a week, I get a message from somebody saying, I can't buy your stock through Robinhood or Goldman Sachs account doesn't allow me to buy. I understand that frustration, but if we move to the NASDAQ and we have to do like a 30-for-1 roll-up, it kills our liquidity and eats up our entire cash balance and then we end up having to dilute at bad prices, that's not going to benefit anyone. And until I have full confidence that, that's not going to happen or at least that risk is highly lowered, we're not going to do it. But look, it's on the road map. I would like to get it done. If I could get it done this year, I would. I think that's unlikely right now unless our share price appreciates. But I would say, stay tuned. It's definitely on the road map. It's something I think about and talk to people daily. A couple more questions here, and then maybe we'll call it. Have you started working on modifications of the face to improve mouth and eye movements. They seem more seamless and more human-like. Yes, we do that every day. With the new robot controller that's coming out in the next little while, that's actually one of the key improvements is the ability for us to harness and make the articulations that much better. The average cost to manufacture the robot now in mid-2025, are there any plans to reduce the cost and improve the margins? I'm going to take that as the last question. The answer is yes. So right now, just so people understand, the robots are made in Las Vegas or just outside the strip there and everything is somewhat made by hand. So we order the components, we use 3D printing capabilities, but we make our own skin, we manufacture the panels. We put everything together with a small team there. Obviously, that leads to a lack of scalability and longer term and even near term, that's not going to work if we want to be able to meet the demand. As with any new product, the early adopters are going to end up paying more. It's more expensive for us to do this today because we're doing everything sort of real carefully. We're still actually -- while the technology is set, we still sort of experiment with certain things like, hey, if we use this motor, cost an extra $10, but it's a little bit smaller, does that make the movements and things look better? So while the tech is right, some of the pieces that we import, we're still sort of experimenting slightly with. It doesn't impact the end product. But until we get all that stuff done, we're sort of in the stage where we're building by hand and doing that. So what do we need to do? Yes, I think we can cut the price of the robots down by about 50% in 24 months. And the way we were going to do that is by outsourcing certain components. And so Matt and I were talking about this last week, which is we can start outsourcing the manufacturing and the cutting of certain components that go into the body. I think for now, so much of the magic of the robots happens from the neck up. We'll continue to do that in-house. And I think with some additional modifications, we'll be able to meet the demand from the head portion quite easily. And so we're the obvious place for us to save money is if we can start scaling and building the bodies faster. There is certain some proprietary technology that goes into the body, the way things are connected. But once we sort of finalize our final drawings, the final components we want to use, we'll be able to go and order those. So right now, like we don't have a big inventory. We need to start inventorying certain components that we know we're going to need, some of those little sensors, micromotors, the skin materials. Once we do that, I think that will allow us to cut the cost by about 20% to 25%. And then once we start outsourcing, and we're having conversation with American OEMs and Chinese OEMs, there's a lot of interest in people wanting to collaborate with us to manufacture. But I think once we do that and we start building at scale, we'll be able to cut the cost by another 25%. And so that's sort of how we get there. But I would expect that going into 2027, 2028, the robots will be significantly cheaper, you'll be able to buy the full-bodied modular robot for $60,000, $70,000, fully programmed and customized to look the way you want. For the head, you'll be able to order the head for $10,000 and have that delivered again to look how you want and with customized AI. So we're working on it. So maybe with that, thank you very much to everybody. I did get one other note here that said, for people who want to invest, they can open an E*TRADE or Fidelity account to buy shares. Thanks for that. But with that, thanks, everyone, for joining the call. Like I said, management, we're thoughtful about all these things. We're working on things. We don't control the share price, but obviously, we want things to move, and we're excited. I remain super excited. When I look at what's on the calendar for the next 6 months, we're going to be all over the world showing our products. And the last time the world really got a great look at it was CES. So I'm expecting good things from a publicity standpoint. We're very close on many people sort of placing orders with conversations with big electronic companies. I believe one of them is actually about to close, and we'll be able to announce that in September. But otherwise, that's it. Thank you, everybody. And of course, if you have questions, you can go to our websites, send us an e-mail through there. And the deck that I showed earlier is also available on the website. So with that, thank you very much, everyone.